Operator: Greetings, and welcome to the TopBuild Second Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Miss. Tabitha Zane, Vice President, Investor Relations. Thank you, Miss. Zane. You may begin.
Tabitha Zane: Thank you, and good morning. On the call today are Robert Buck, President and Chief Executive Officer; and Rob Kuhns, Chief Financial Officer. We have posted senior management’s formal remarks and a PowerPoint presentation that summarizes our comments on our website at topbuild.com. Many of our remarks will include forward-looking statements which are subject to known and unknown risks and uncertainties, including those set forth in this morning’s press release as well as in the company’s filings with the SEC. The company assumes no obligation to update or supplement forward-looking statements that become untrue because of subsequent events. Please note that some of the financial measures to be discussed on this call will be on a non-GAAP basis. The non-GAAP measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP. We have provided a reconciliation of these financial measures to the most comparable GAAP measures in a table included in today’s press release and in our second quarter presentation which can also be found on our website. I will now turn the call over to Robert Buck.
Robert Buck: Good morning, and thank you for joining us today. 2023 is shaping up to be a solid year for TopBuild. We continue to operate in a favorable environment and remain focused on driving profitable growth, a cornerstone of our operating model. The volume growth and strong margin expansion we’ve achieved, not only this year but also over the past 8 years since becoming a publicly traded company, is a testament to our entire TopBuild team and our continuing emphasis on operational excellence and driving improvements throughout all areas of our business. Also on display is the strength of our diversified model which affords us multiple avenues for growth and gives us the ability to outperform in any environment. Total sales for the first six months are up almost 6%. Our gross margin expanded 140 basis points to 30.7%, and our adjusted EBITDA margin grew 170 basis points to 19.9%. We are increasingly optimistic about how the rest of the year will unfold, based in part on recent positive commentary from our builder customers, single-family starts data over the past two months and our continued strong commercial performance. This improved outlook is reflected in our full year guidance for 2023, which Rob will discuss in further detail. Reviewing our second quarter results, a positive mix of installation business kept our branches busy. While we did see some slowdown in single-family work, we definitely outperformed the single-family market. We also demonstrated the strength of our operating model with outstanding multifamily and commercial execution. Our new Lead App continues to identify commercial opportunities, and our installation branch managers are aggressively pursuing these projects. Their focus resulted in a 22.6% increase in commercial revenue this quarter. On the heavy commercial front, we continue to drive improvements throughout this business, which has enhanced our win rate for many projects across the country. Our installation crews are working on a wide range of projects, including the Nashville International Airport, the UCI Medical Center in Irvine, California, and the revitalization of Two Penn Plaza in New York. We are agnostic as to the types of projects on which we work and are not over indexed to office or any other type of heavy commercial work. Looking ahead, our commercial backlog remains robust, and we’re bidding jobs into late 2024 and early 2025. Turning to our Specialty Distribution business. Overall sales in the second quarter declined 2.3%, primarily as a result of our smaller contractor customers continuing to reduce inventory and as more construction activity has shifted to multifamily. We did see a 2.1% increase in sales from our commercial and industrial channels. Coming out of allocation, as residential distribution volumes continue to normalize, our teams are doing a nice job of identifying and building attractive new areas of growth as our overall results clearly demonstrate. Our Special Distribution teams are supporting a number of major industrial manufacturing projects, including two large chemical plants for Chevron. We’re also seeing quite a few major projects being planned across several diverse industries, fueling the demand for mechanical insulation. Maintenance and repair work on many commercial and industrial sites is also being scheduled and this recurring revenue stream should serve as a continued stabilizing revenue driver for our Specialty Distribution business. We remain very optimistic about the opportunities for growth in both the commercial and industrial end markets in the U.S. and Canada. To touch briefly on labor and materials, labor remains tight. While fiberglass is no longer an allocation, some supply is still constrained. And no new capacity is expected until second quarter of next year. Our M&A team has also been busy this year. To date, we’ve closed three residential insulation acquisitions, which combined are expected to contribute approximately $170 million of annual revenue. These are SRI Holdings, which enhances our presence in Georgia, Michigan, Ohio, Florida, Alabama and South Carolina; Best Insulation, which serves high-growth regions in the Southeast and Southwest, including Florida, Texas and Arizona; and Rocky Mountain Spray Foam, operating in Colorado. We were also excited to announce our planned acquisition of SPI last week. This highly strategic core transaction will bring together two specialty distributors of mechanical insulation; reinforce our position as a leading specialty distributor in the highly fragmented $17.5 billion insulation industry; further differentiate our unique operating model; and reduce the cyclicality of our business by increasing the percentage of recurring revenue driven by maintenance and repair work. As a reminder, this is an all-cash transaction valued at $960 million, and we expect to achieve between $35 million and $40 million of run rate cost synergies by the end of year 2, post close. Looking ahead, acquisitions will continue to be our number one capital allocation priority and a key component of our growth strategy, and our pipeline is filled with outstanding potential partners. In summary, we had a great second quarter and as you can see from our revised guidance, we are on track to have another strong year. Our team continues to execute well, and our diversified model positions TopBuild to outperform in any environment. Rob?
Robert Kuhns: Thanks, Robert, and good morning, everyone. We had a great second quarter on both the top and bottom line, reflecting the strength of our unique model. Our teams continue to execute well with a relentless focus on driving operational improvements every day. This passion for constant improvement is core to our strategy and has been a key driver behind our continued success. Moving to the financials. I’ll start with an overview of our second quarter results, update you on our balance sheet and provide the latest on our full year guidance. Second quarter net sales increased 3.4% to $1.3 billion, reflecting the success of our teams leveraging our multiple avenues for growth. Gross margin improved 190 basis points to 32%, the highest in the company’s 8-year history as a public company. This margin expansion reflects, in large part, our success in managing labor and material costs in this favorable operating environment and our continued focus on driving operational efficiencies and acquisition-related synergies. Second quarter adjusted EBITDA increased 13.7% to $275.5 million, and our adjusted EBITDA margin was 20.9%, a 190 basis point improvement compared to last year, driven by the gross margin expansion described earlier. Our Installation Segment’s second quarter net sales were $809.1 million, an increase of 8%. Our Installation teams did a great job pivoting to multifamily and commercial work, the latter of which increased by 22.6%, as single-family construction slowed slightly. Second quarter adjusted EBITDA margin for our Installation segment was 23.4%, a 260 basis point improvement. Our Specialty Distribution segment’s net sales declined 2.3% to $574.5 million. This was driven by the residential shift from single-family to multifamily, our contractor customers continuing to right size their inventories and distribution volumes normalizing post allocation. Adjusted EBITDA for our Specialty Distribution segment was 17.6%, a 40 basis point improvement. Overall, solid results for this segment in the current environment. Interest expense in the second quarter increased from $13.4 million to $18.6 million, primarily as a result of higher interest costs on our variable rate term loan. Second quarter adjustments to net income were $2.1 million, driven by acquisition-related costs. Second quarter adjusted net earnings per diluted share were $5.25, an increase of 18.5% from prior year. Moving to our balance sheet and cash flows. Our June 30 year-to-date operating cash flow was $385.8 million, compared to $217.7 million last year, a 77% increase driven by increased earnings and improvement in our working capital management. Working capital at the end of June improved to 14.9%. Our long-term working capital target remains at 12% to 14%, and our goal is to be within this range by year-end. On the capital allocation front, year-to-date CapEx was $30.7 million, approximately 1.2% of revenue and slightly below our long-term guidance. Through the end of the second quarter, we have allocated $46 million to M&A. M&A remains our number one capital allocation priority, as evidenced by our recent announcements for Best Insulation and SPI. There were no significant changes to our debt structure as our outstanding short-term and long-term debt balances remained just under $1.5 billion, with our average cost of debt at 4.77%. We ended the second quarter with net debt leverage of 0.92 times trailing 12 months adjusted EBITDA. This is down from 1.31 times at the end of 2022. Total liquidity at June 30, 2023, was $958.8 million, including cash of $526.3 million and an accessible revolver of $432.5 million. Before discussing our outlook for the remainder of 2023, I want to again express our enthusiasm for the acquisition of SPI. We are confident this transaction is a great use of capital and will create significant shareholder value. As a reminder, we plan to fund this $960 million deal with cash on hand and a $550 million delayed draw term loan. Following the close of this transaction and inclusive of Best Insulation, our pro forma net debt leverage would be 1.8 times as of June 30, 2023. This is well within our targeted leverage range between one and two times trailing 12 months adjusted EBITDA. Moving to our annual guidance. Based on our first half performance and our outlook for the remainder of the year, we expect 2023 to be another great year for TopBuild. Despite the slowdown in single-family starts in the first half of the year, we are more optimistic for residential today given the recent improvement in starts and the continuing strength of multifamily. As a result, we are raising our outlook and now expect residential revenue to be down only single digits only low single digits. Turning to our commercial and industrial business. Given our strong results, we are also more optimistic now and expect revenue to be up mid-single digits. This will put our full year sales in the range of $5.025 billion to $5.175 billion, a $325 million increase on the low-end of the range and a $275 million increase on the high end. We also raised our guidance for adjusted EBITDA to be between $950 million and $1 billion, a $130 million increase on the low-end of the range and a $90 million increase on the high end. Our long-range modeling targets are unchanged from those we published on May 4. As a reminder, we do not include the impact of any planned acquisitions in our outlook. I will now turn the call back to Robert for closing remarks.
Robert Buck: To conclude, our team manages the business with a constant mindset of driving improvements and achieving operational excellence. We are proud of our track record of consistently producing strong financial results and we recognize our success is the result of having the best and most talented operators in the field and a dedicated and experienced group at our branch support center in Daytona Beach. Our goal is to create sustainable shareholder value in every operating environment. We are also very excited about the planned growth of our Specialty Distribution business through the acquisition of SPI. This is another transformative acquisition for our Company and one that will create long-term value for our shareholders. As always, I thank the entire TopBuild team for their focus on working safely to deliver value, quality, and service to our customers. Our highly engaged team is the reason TopBuild has been chosen a Best Places to Work company. Operator, we are now ready for questions.
Operator: [Operator Instructions] Thank you. And our first question comes from the line of Mr. Ken Zener with Seaport Research Partners. Please proceed with your question.
Kenneth Zener: Good morning everybody. Two questions. One, I just kind of want to -- obviously, the quarter was good in terms of the installation units being positive. Could you comment perhaps on the single-family, multifamily and the commercial because I -- and the reason I ask is I’m trying to understand obviously the quarter results, but perhaps how the cadence will unfold in the second half given what we’re seeing in terms of starts. That’s the first question.
Robert Kuhns: Okay. Ken, this is Rob. So breaking that down a little bit for you. We don’t break out single-family versus multifamily. But what I can tell you on the install side is our residential sales were up about 3% in the quarter. Single-family was down slightly as we’ve seen the impact of the slowdown in starts that we saw in the back half of last year going into the start of this year. But as we’ve been telling folks, our teams have been out ahead of that, bidding multifamily, bidding light commercial work. And we had a great quarter with that, right? So evidence of our multiple avenues for growth there and that we were able to grow residential even with single-family down. And then on the commercial side of things for install, we were up around 23% for the quarter. So a great growth story there.
Kenneth Zener: Does that mean -- if you didn’t contract as much as single-family, does that mean the recovery won’t be as strong -- when one thinks about the percentage basis declines in residential, going down, let’s say, 20% and then popping up, does that mean your growth would also be more moderate for context, just to tie that question off?
Robert Buck: Ken, this is Robert. So we would say, if you look at what happened in residential, second quarter, there’s probably a pretty good chance it reached the trough there relative to volumes and stuff. I think one thing, if you look at our single-family and multifamily performance combined and as we look at it individually, we’d say nice share gain by our teams in the field on residential. And you got to look at that commercial growth, it’s pretty phenomenal. It’s what the team delivered there as well. So I don’t think it mutes anything relative to the back half of what’s coming from a TopBuild perspective.
Kenneth Zener: Excellent. And now related to the SPI deal, which was pretty amazing, and I don’t think these questions were asked necessarily on the call last week. But obviously, this is an expression of your unique vision that just keeps unfolding. So when I was walking and you guys hosted -- and Distribution International, the warehouse, a lot of that material looks similar to what would go into residential, which ties into purchasing power. Is that -- this cost synergies at $35 million to $40 million, I assume that would unfold similar to DI in terms of, let’s say, 40% material, if that was my -- if my recollection is correct? And if so, how important is buying more and more from the same manufacturers, playing into your thinking about how that might be affecting your returns and the ability to increase share even more?
Robert Kuhns: Yes, Ken. So this is Rob. I’ll start off, and I’m sure Robert will add to it. But when we bought DI, if you remember, we talked about, one of the things we loved about getting into that space was the opportunities for growth and the M&A opportunities that would be out there. And at the top of our list, as we looked at that, was SPI, right? So the fact that we’ve been able to land that one, we’re very excited about that. From a synergy perspective, right, the synergies are very similar to what we signed up with DI. The buckets won’t be too dramatically different. I mean it’s going to be roughly 50% supply chain, roughly 50% operational improvements. But as we -- as you’ve seen, we’ve exceeded the high end of that range on the DI transaction. That was part of our strong margin expansion we saw in Specialty Distribution here in the quarter was the continuing achievement of those synergies. And that’s why we’re so excited about this SPI transaction.
Robert Buck: Yes. And I think I’ll add on to that, Ken. I think as we think about acquisitions and our track record there, obviously, we’ve always talked about synergies and we talked about supply chain synergies. But one thing -- but having a dedicated integration team, how we bring that together and that consistent track record of delivering exceeding the synergies, I think that’s built upon a few things in the model. One that I’d point to is just constantly driving operational improvements, including the acquisitions. These are great brand companies, and so we’re able to take those ideas, we’re able to get those back into our total TopBuild business, and we’re able to drive improvements in their business as well. And that’s really helped us exceed the synergies. So that’s one thing we don’t talk about sometimes, but it’s really helped us over deliver on acquisitions and the synergies in the past. That’s something I’d really point to here as well.
Kenneth Zener: And I assume it changes your dialogue with -- on the commercial side having so many distribution and particularly at your Investor Day, you talked about you being able to port labor on that specialty side. Have you hit that maximum or that threshold? Or you’re really able to be a unique servicer to commercial customers?
Robert Buck: Yes, we absolutely think so. I think it plays into -- I think I put it in the prepared remarks, just the work that the team is doing in the field relative to driving improvements in that business, we think it’s helping the win rate. We think it’s helping drive performance in that business, really great from a service perspective. Both installation, if you think about the envelope side of it and then service partners relative to distribution side. And then now you got the whole model of SPI, DI together, which is that commercial and industrial distribution. And by the way, those businesses are known for service. So that absolutely helps us drive the ability to keep growing and drive utmost share gain as well.
Kenneth Zener: Thank you very much.
Operator: And our next question comes from the line of Mr. Stephen Kim with Evercore. Please proceed with your question.
Stephen Kim: Yes, thanks very much guys. Great quarter. And I guess my first question relates kind of more on the industry macro side. Can you give us an idea of what you’re expecting in terms of housing starts, the trajectory, both single-fam and multi? And then also in terms of the outlook for fiberglass, price increase, our sense has been that enthusiasm has been building as single-family has rebounded for another industry price increase on the fiberglass side. I was wondering if you share that view that -- from what you can see if the support is there for an increase here as we head into the fall or whether you think that either the decline in multifamily activity that we might see or the rate spike we just incurred here, whether those are significant enough to maybe impede a price increase announcement. Thanks.
Robert Kuhns: Yes, Stephen, this is Rob. I’ll start off on the single-family, multifamily assumptions, and then Robert will add in on the supplier side of things. But from a guidance perspective, kind of the way we’re seeing the rest of the year play out, we expect the strength we’ve recently seen on single-family to continue. And so that’s what we’ve got baked into our guidance. So a starts number for the full year, somewhere between 1.4 million, 1.5 million, probably towards the upper end of that is probably what we’re expecting to see there. Obviously, the next few months will be key in terms of starts, in terms of what drives our fourth quarter results. And then multifamily, like we’ve been saying, the backlog remains really strong there. We’re still seeing good bidding activity there as well. So we feel really good about multifamily heading through the rest of the year as well.
Robert Buck: Yes. And Stephen, this is Robert on the fiberglass side, adding on one to Rob’s point about single-family, which I think begins this question. I think. As single-family continues, that’s one thing I like about -- we’ve done a great job of updating our guidance and looking at the future. We’d say single-family starts continue to track, we’d see upside on some of that guidance as well, which we think is a very positive story. And then fiberglass, I think it does depend on the single-family starts in the next couple of months. I think that trajectory continues, there’ll definitely be a possible increase that would come here in the fall. So I think we have to see what the next couple of months unfold here. I think you probably know there’s really no increased capacity coming on until second quarter of next year. So I see what happens with those starts, and I think that could drive the decision by the manufacturers.
Stephen Kim: Okay. Got you. That’s helpful. And then if I wanted -- if we could shift a little bit to the commercial and industrial. Within your Specialty Distribution sales, can you give us a sense for how resi did versus commercial and industrial? And then can you also touch on what pricing -- the pricing environment looks like on the C&I side with like foam and glass -- sorry, foam glass and like calcium, silicon and stuff. Just give us a sense of how that looks because we tend to focus a lot on fiberglass.
Robert Kuhns: Yes. Yes, I’ll start off with the resi, C&I split. Robert will add on there on the price side. From a Specialty Distribution side of things, we did see things. On the Service Partners side, they’re serving a lot of the smaller contractors that have been impacted by the slowdown on the single-family side of things. So our residential sales were down around 8% in the quarter for Specialty Distribution. But we did see a nice second quarter in a row, growth on the commercial and industrial side. So sales up 2% on that side and up 5% year-to-date.
Robert Buck: Yes. And I think building on that, Stephen. So I think whenever we look at those Specialty Distribution volumes on the residential side, we’re pretty. I think the team is doing a nice job. If you look at that compared to other industry data points out there, you can see how the Specialty Distribution team really there has been performing well. I think relative to your pricing question on C&I, I’d say definitely stability there. If you remember, there wasn’t as much inflation coming in there. We keep talking about big projects coming on, whether it be MRO projects and some other larger projects coming. So if we think about the C&I side, definitely more sustainable or a nice job at sustainable price relative to the C&I piece of the business.
Stephen Kim: Okay, great. That’s very helpful, thanks guys.
Operator: Thank you. And our next question comes from the line of Mr. Joe Ahlersmeyer with Deutsche Bank. Please proceed with your question.
Joseph Ahlersmeyer: Hey good morning everybody and congrats on the results and updated guidance.
Robert Kuhns: Thanks Joe.
Joseph Ahlersmeyer: Just thinking about what seems to be some growing visibility, certainly into the back half, but even into next year. Good leading indicators on commercial, long multifamily backlogs and sort of calling a bottom here, it sounds like, on single-family in the second quarter. Maybe just at this point, assuming things don’t unexpectedly get significantly worse, are you sort of willing to target organic EBITDA growth in the next year? I know that you’ve got the deal coming through, which will help. But organically, should we expect EBITDA growth in 2024 at this point?
Robert Kuhns: Yes, Joe. As you know, we haven’t given any guidance into 2024. But certainly, what we’re seeing with the leading indicators like you talked about, we’re certainly optimistic for 2024 and what we’re seeing, and we look to continue the trend we’ve had. If you look at the midpoint of our guidance we just put out, this will now be our eighth straight year of revenue growth and EBITDA expansion, and we’ll be looking to do that into 2024 as well.
Joseph Ahlersmeyer: Appreciate that. And maybe are there any call outs because the top line certainly seems to be the more constructive part of that conversation. But your gross margins are up, call it, 400 basis points run rate versus pre-pandemic. Is there any sort of watch out there on that line item? Maybe where if we’ve got 100 or 200 basis points or something, that needs to roll out? Or would you say that’s not the case?
Robert Kuhns: Yes. I think certainly in the second quarter, right, there’s a lot of variables that go into our gross margin, right? If you think about it, you got the mix of the segments, which obviously is installs up more, that helps out there. You got all the variables that go into these large projects on the commercial side, both on distribution and residential. You got bidding, you got how available material is, you got labor availability, labor efficiency on the install side. We do a great job of managing that. Our ERP certainly gives us an advantage in managing that. But I’d say we even surprised ourselves in the second quarter with how good a job we did in managing that. And certainly, we did not bake all of that into our guidance for the back half of this year.
Robert Buck: And I think -- Joe, it’s Robert. I mean as we try to always say in the prepared remarks, and I know that whenever we talk with you one-on-one, just a constant focus on operational improvements in the business. It’s definitely a favorable environment, but the team continues to work, ideas, improvements, bottom quartile, that type of thing. So maybe talk about what’s happened over the past few years, we definitely don’t want to downplay all the operational improvements that have gone into the business as well on top of the good points Rob made.
Joseph Ahlersmeyer: Congrats on the first half and good luck in the second.
Robert Buck: Thanks, Joe.
Operator: Thank you. And our next question comes from the line of Mr. Jeffrey Stevenson with Loop Capital Markets. Please proceed with your question.
Jeffrey Stevenson: Certainly thanks for taking my questions and congrats on a strong quarter. So you reported a record quarter of gross margin, which was great to see. But moving forward, I was hoping you could provide a little more color of how you’re thinking about the cadence of gross margin given an expected moderating year-over-year inflation.
Robert Kuhns: Yes, Jeff, this is Rob. So as you know, we don’t guide on that level. But like I was saying on the previous answer, there were certainly some benefits in Q2 that we’re going to do everything in our power to continue to do into Q3, Q4. But could there -- is there $10 million or 80 bps of benefit there that I wouldn’t -- that we haven’t baked in to our back half guide? There definitely is. So that’s how I think about that moving forward.
Jeffrey Stevenson: Okay. Understood. And you cited kind of continued destocking at the smaller contractor level and Specialty Distribution. And is that largely complete? Or do you think any of that will spill over into the third quarter? And also your inventory is a bit lower sequentially, and just wondering if you’ve made any adjustments on the installation side as well, as we’re kind of moving into a period of slowing single-family residential demand?
Robert Buck: Hi Jeff, this is Robert. So on the Specialty Distribution side, you’re seeing some normalizing of distribution volumes coming out of allocation. Obviously, during allocation, a lot of folks come to distribution. So you’re seeing that normalizing piece of it. And then obviously, folks are continuing to work down inventories with a lot of people, including ourselves. You saw it in our results, to your point, we’ve worked down our inventories as well. I think, again, looking at the data -- multiple data points in the industry, the Specialty Distribution team did a nice job of offsetting some of that with some of the other growth areas. So that’s one thing I’d say on Specialty Distribution. Relative to installation, sure, we -- the teams continue to do a nice job of working inventory levels as material has come off allocation. So we continue to work that and the teams are focused on that at the local level on our install side of the business also.
Jeffrey Stevenson: Got it. Thank you.
Operator: Thank you. And our next question comes from the line of Mr. Adam Baumgarten with Zelman & Associates. Please proceed with your question.
Adam Baumgarten: Hey good morning everyone. Just looking at the updated revenue guidance, I believe it implies some modest revenue declines in the back half. I’m just curious why that would be the case given improving single-family trends, easier comps. Just maybe if you could walk through the kind of kinks there.
Operator: Excuse me, everyone, pardon for the technical difficulties. Please stand by. [Technical Difficulty] Thank you for standing by. Adam, please proceed with your question.
Adam Baumgarten: Okay, thanks yes good morning. Just looking at the updated revenue guidance, it implies at the midpoint, at least a modest revenue decline in the second half of 2023 year-over-year. I’m just curious why that would be the case given improving single-family trends, easier comps. It sounds like the backlogs in multifamily are still pretty strong. Just if you could walk us through that.
Robert Kuhns: Yes. Adam, this is Rob. So at the midpoint, you’re correct. We’ve got a slight decline. There is one less day to prior year and, actually, versus first half, you got three less business days. So that’s a big part of the change. And then towards the high end of our guidance, we do show growth for the second half of the year on an average daily sales basis. Like Robert said, if we have reached the trough, we should see that slower growth. But typically, the back half of the year, we do see a seasonal uptick of 5% or so year-over-year. And that’s not baked in right now given the slowdown we saw in the single-family side to start the year. And so that’s the impact you’re going to see in the year-over-year as well. Obviously, if starts to continue to accelerate from where we are today, that will be upside to the guidance we’ve got out there.
Adam Baumgarten: Okay. Got it. And then you threw out that 80 basis points benefit to gross margin. Can you walk through exactly what drove that and why it may not continue?
Robert Kuhns: Yes. Like I said, I mean there’s a lot of variables that go into our margins every quarter, right? It can be segment mix, it can be bidding, it can be how available material is to us, labor efficiency. And we do a good job of forecasting that. But like I said, this quarter, we even exceeded our expectations around that, and we’re going to continue to do everything we can to maintain that and to expand on that. But in our guidance, we have not baked in that level.
Adam Baumgarten: Okay. So it wasn’t necessarily one specific item, it was just a kind of confluence of factors?
Robert Kuhns: Correct. I mean it’s certainly business performance, right? It wasn’t like a onetime accounting good guy or something like that. It was performance of the business.
Adam Baumgarten: Okay guys. Thanks. Best of luck.
Operator: Thank you. And our next question comes from the line of Mr. Phil Ng with Jefferies. Please proceed with your question.
Philip Ng: Hey guys, congrats on another strong quarter. So Robert, if I heard you correctly, you’re currently anticipating maybe single-family volumes may have troughed in 2Q for your Insulation business. And appreciating your report, volume and mix together, and your volumes were actually up year-over-year in the first half. So should we expect it to be positive in the back half as well? I appreciate you got a little tougher comps there. And then similarly, how should we think about the shape of the year in your distribution business? Is 2Q your trough from a volume standpoint as well?
Robert Buck: Yes, good morning Phil, so I think as we think about that, Rob hit it pretty well. If we continue to see those positive trends on single-family, we’d expect that definitely to be positive in the back half. And I would tell you, based on conversations with builders, obviously, at our local levels with our branch operations teams who are very engaged as well as specs we see coming out of the ground, we’d say that’s a good possibility if we hit that trough here in Q2. I think on the distribution side, yes, we would expect upside there. Again, I think a really important point here. Look at the data points in the industry, our Specialty Distribution did a really nice job in Q2. So we would expect that execution to continue here on the back half of the year -- even back of the back half of the year. So we’re pretty positive of the thing our field teams have been working and the execution that they’re delivering at a local level.
Philip Ng: Okay. And from a completion cycle standpoint, have you seen things normalize? And would you take start and lag it, call it, 3 to 4 months at this point?
Robert Buck: It’s definitely -- that lag is that they got back to more of a normal level. Is it 100% back to where it was pre-COVID? I wouldn’t say back to that level, but it’s not months anymore. It’s down to probably weeks getting back to that normal level. So it’s pretty close, Phil, to your question.
Philip Ng: Okay. Super. And then on the commercial and industrial side, Robert, really strong results. You raised your guidance there. Where are you seeing that pickup in activity for this year? And from a bidding activity, any pockets within that commercial and industrial that’s a little stronger? Is it LNG? Is it manufacturing? Any color there? And when we look out to 2024, do you think you could sustain that mid-single-digit growth range in that C&I segment or maybe even accelerate a little bit?
Robert Buck: Yes. So let me hit two parts of it. Let me hit the install side of the business, which, again, is more on the light commercial, heavy and that envelope piece of it, right? So yes, I mean the team is doing an excellent job there. We’ve got some -- just -- our leadership there is very energized. They’re doing a nice job of using -- utilizing our tools like our Lead App, and just continue to drive improvements in that business in different parts of the country. We’re close to the major metros relative to that business. And so they’re servicing those markets as well as branching out from some of those as well in the heavy commercial side. If I go to distribution, I think Rob hit on some nice growth rates there. And then you asked about specific areas. I mean a few I would point out is on the commercial side, data centers. We continue to see a lot of work in higher education and medical. And then on the mechanical industrial side, definitely liquid natural gas. And I would point to that, by the way, U.S. and Canada. We’re seeing some nice projects coming up in Canada, both MRO and new builds, and definitely in that liquid natural gas area. Some nice government work that’s going on in Canada as well. And then between both food and beverage, as well as some of the mega projects, EV plants that type of thing, that’s driving some of the demand and some of the bigger projects we see coming down the pipe, both in execution and bidding.
Philip Ng: And then with that outlook on your distribution side, should we expect the growth rate you’re seeing this year accelerate in 2024 or pretty steady?
Robert Buck: Yes. I think as we get back to my comment to that would be, Rob may want to add something, but I think if we’re getting back to normalizing distribution volumes, yes, I mean I think we would expect to see that business continue to grow and outperform which, again, I think they’ve done in the first half here. We look to see momentum in the distribution space for sure.
Robert Kuhns: Yes. And I’d just point out in the second half, the comps on commercial and industrial are a little tougher than the first half. So while we do expect growth, the year-over-year numbers won’t be as strong as we saw the first half of the year.
Philip Ng: Okay, great color guys. Appreciate it.
Operator: Thank you. And our next question comes from the line of Mr. Keith Hughes with Truist Securities. Please proceed with your question.
Keith Hughes: Thank you. We talked a lot about turn and volume and insulation. I just want to switch to distribution. You gave us the breakout in the quarter between industrial, commercial and residential. Do you think that kind of numbers are going to hold for the back half of the year or would you expect either one to accelerate or decelerate?
Robert Kuhns: Yes. I think on the residential side, we’re expecting to see some improvement given what we’ve seen from the starts side of thing on the single-family side. So for sure, we expect to see some improvement there. And then as Robert was just talking about on the commercial and industrial side, a lot of good projects and activity going on there. So we’re expecting to continue kind of that mid-single-digit steady growth in the back half of the year.
Keith Hughes: And is that growth -- is that all volume? Or is there some price in that mid-single-digit number as well?
Robert Kuhns: Yes. There’s a small piece of price, but there hasn’t been nearly as much inflation on that side of things as we had on the resi side. And even on the resi side, as you can see in our results, the price number is coming down.
Keith Hughes: Alright, thank you.
Operator: Thank you. And our next question comes from the line of Mr. Noah Merkousko with Stephens. Please proceed with your question.
Noah Merkousko: Good morning and thanks for taking my question. On the install side, very good volume growth there in the quarter. You called out shifting your focus to more light and heavy commercial projects. I was wondering if you could help us understand, is it fairly easy to shift that labor and assets between end markets. And presumably, there -- the slowdown in single-family was, I think, quite anticipated by a lot of people for some time now. And I imagine other installers would look to shift that work as well. So I guess, do you think you’re taking market share in those end markets?
Robert Buck: Yes, good morning, Noah, it’s Robert. So first part of that question is, so all of our residential branches can basically do the light commercial work. It’s very similar products, very similar applications. So that labor will transfer and transfer easily between jobs and between geographies. On the heavy commercial, which, as Rob pointed to some impressive numbers there, you don’t transfer kind of the residential like commercial labor over to the heavy commercial. That’s really dedicated to that business because it’s higher technical and in different applications. Now those crews can travel. Those crews do travel among cities. So definitely transferable within light commercial, definitely transferable within heavy commercial. And then as we think about -- you’re talking about the I think question somewhat around the mix there in the future. I mean I think as we look at -- you’re right around the single-family side, but if you look at our numbers and look at the starts we definitely outperformed in the single-family side of the business, and then as we’ve said, I think looking at our overall performance, definitely picked up share on the multifamily side of the business as well. So this whole element that we’ve been talking about, diversified model, multiple avenues for growth, single, multi, commercial, industrial, you see it paying off here in the results and how the business has outperformed.
Noah Merkousko: Got it. That’s helpful. And then for my follow-up, when you acquired Distribution International, you highlighted a pretty strong pipeline of M&A opportunities there. And clearly, you’re executing on that with SPI. So just wanted to get an update there. I mean I know you noted in your prepared remarks, it’s still a very fragmented market. But can you kind of help frame up the opportunity of sizable acquisitions that’s in that space?
Robert Buck: Yes. So if you think about that mechanical insulation space and as we think about it, there’s -- SPI is a good example. You got mechanical insulation. You’ve also got commercial type of insulation with metal building insulation, which we talked about, extremely fragmented. And you’ve got smaller players, you’ve got larger players. You’ve got players of all different sizes in that space, and both of them are highly fragmented. So that’s -- I think, Rob and I wanted in our prepared remarks, talked about a very active pipeline relative to deals out there, obviously, SPI, great company. So we move forward with that one. But they -- I think we said it in our announcement last week, they’ve really got an M&A capability as well. So that’s only going to add on top of a great competency that TopBuild has from an M&A perspective. Again, across all three, residential, commercial and the commercial and industrial space as well.
Noah Merkousko: Great, I appreciate all the color. I’ll leave it there.
Operator: Thank you. And our next question comes from the line of Mr. Michael Rehaut with JPMorgan. Please proceed with your question.
Michael Rehaut: Thanks, good morning everyone. Thanks for taking my questions. First, I just wanted to kind of circle back to the M&A question just asked. Obviously with SPI there’s still a tremendous amount of opportunity in the mechanical and industrial side and that’s been a big part of your focus and thesis, and it looks like there’s a lot more to come over the next two or three years. How should we think about the residential side though? Obviously, you continue to do various acquisitions there as well. But from a revenue standpoint, they appear a little smaller. Should we expect that kind of trend to continue where perhaps from a revenue standpoint, the bulk of the opportunity is more on the commercial, industrial, mechanical and still some opportunity on the resi side, but more singles versus doubles and home runs on the other parts of the business?
Robert Buck: Yes, Mike, this is Robert. I’ll start off. So let’s start on the mechanical side of it. Yes, definitely, plenty of opportunities there, as there’s a lot amount of fragmentation there in that space. And big players, small players, mechanical, metal buildings are really across that space. But we see the same on residential. I just want to point to our performance here. I mean, so this year, two sizable acquisitions, much larger than the average in the space with SRI that we acquired in first quarter, so about a $62 million residential installer there in multiple locations. And then we’re really excited about Best Insulation, which we announced in July, a $100 million company as well. So we like the small ones, we like the medium and the big ones and you see us delivering at all levels there. So I think on the residential side, you should think about continued opportunity. It is fragmented as well. And just the returns that happen with those acquisitions of all sizes and the execution is excellent for our shareholders. So you’re going to see us active across all of them.
Michael Rehaut: So just before I hit on the second one then, you’re saying that companies like SRI and Best, there’s still a bunch of those types of companies out there and available?
Robert Buck: We still see some sizable companies in the space. I’m going to call it, they are I think sizable, higher than the averages, if you will, some of the smaller ones or if you take the average of the ones done across the industry. So there’s some -- still some nice sized targets out there.
Michael Rehaut: Okay. Great. Just secondly, the EBIT margin for TruTeam, I mean it continues to come in above expectations, I think, above your expectations as well. Even if you assume that 80 bps of gross margin, I guess, onetime is more concentrated in TruTeam, which I would take a guess and say perhaps it is. You’re still looking at a 20%-plus margin there. So I’m just trying to get a sense, over the next year or two, I mean what’s -- as we try and think about the level of sustainability, in the margins that you’re seeing in the first half of ‘23, what’s kind of pushed that to the next level, so to speak? You highlight productivity. I’m just trying to get a sense if there’s been a structural change in the profitability of the segment itself, perhaps related to pricing better for the services you provide in the marketplace against the tighter resource backdrop. Just trying to understand how much of this improvement is structural as we think about the next couple of years.
Robert Buck: Mike, its Robert. So let me start with that. I really focus on the execution in the field, supported by the great support functions we have. I mean it’s just -- if you look across things driving -- and Rob hit on all of them, where he talked about labor productivity, how we utilize our network with our ERP system, not just residential but commercial. Our teams have done a nice job even on the multifamily side. I think in historical past, you hear people talk about multifamily margins. Our team has done a nice job there. So the team makes the most of the -- having a great operations team in the field. They make the most of the opportunities whenever they come along. They keep pushing improvements in the business and the execution just drives the numbers piece of it. And our team stays very focused on that, and our leadership in the field stays very focused on that as well. So -- and we’re constantly working bottom quartile. I mean it’s just -- it’s part of our DNA. It’s part of what our leaders in operations push is constantly looking at pushing the performance in the business. So I really point to our execution, no one single factor to talk about there, nothing structural other than just continue to execute on our plan.
Robert Kuhns: Yes. And Mike, I’d just add to that, that our guidance implies we expect to continue to expand. I mean that EBITDA margin is great this quarter, right, 23.4% for the install side of the business. But we guide to them being on the higher end of our incremental margin range of 22% to 27%. So the quarter-over-quarter improvement won’t be as great. But if we continue to add at 27%, and a lot of times, as you know, we’re doing much better than 27%, we should be able to continue to expand.
Michael Rehaut: Great. Thanks so much.
Operator: Thank you. And our next question comes from the line of Mr. Rafe Jadrosich with Bank of America. Please proceed with your question.
Rafe Jadrosich: Hi, good morning thanks for taking my questions. Robert, I just wanted to sort of clarify a comment that you made earlier. I think you said that you would expect residential to trough in the second quarter. Is that for the industry in terms of starts? Or is that your own business? And then if it’s for the industry, when would you expect resi to trough within the installation and distribution business?
Robert Buck: Yes. This is Robert. So I’ll start with a couple of comments there. So one, we said it could have troughed in the second quarter. Obviously, others have been making comments as to their view on that. I think it’s hard to ignore the starts and the momentum in the starts looking at May and June. So if that momentum keeps going in that direction, you’d say the industry is probably solid. So all that, it really depends on that trajectory of the starts. But definitely given recent trends, recent commentary from builders, specs that we see coming out of the ground, we’d say that’s a good possibility that we and the industry is solid in the second quarter. But we’ll see what happens here coming up in the next couple of months.
Robert Kuhns: Rafe, I was just going to add to that. I mean from a starts perspective, obviously, we saw that. It looks like starts troughed around April, right, and now have come back May, June, and we hope continue that pace. And then we’re obviously lagged from that 3, 4 months. So whether that trough exactly hits us in Q2 or Q3, that’s the question at this point. But it definitely looks like we’re going to be coming out of that here in the second half of the year if this trend on starts continues.
Rafe Jadrosich: Great. That’s very helpful. And then just the increase of the outlook on the commercial and industrial side for the year, you took that up slightly. Can you talk about like, is there any end market that’s driving that improved outlook specifically? Like what are you seeing by end market? I guess, mostly on the distribution side that’s driving the commercial higher? And then have you seen any improvement in the bidding activity as you look into next year as well?
Robert Kuhns: Yes, Rafe, I’ll start off, this is Rob, and Robert will add on. I mean I think the increase really is driven by our outperformance here in the first half, right, which was really driven on the install side of the business where we saw revenue up in the 23% range year-over-year. I mean we are seeing a nice steady growth on the distribution side, but it’s in about the range that we guided to for the year. But the outperformance has been on the install side. A variety of big projects. Robert can probably add some color there as well. But it’s been across both light and heavy commercial. We’ve seen both sides grow in that 20%-plus type range here in the quarter.
Rafe Jadrosich: Great. That’s very helpful
Operator: Thank you. And our next question comes from Mr. Reuben Garner with Benchmark Company. Please proceed with your question.
Reuben Garner: Thanks, good morning everybody. I hopped on a touch late, so apologies if this is a repeat question, but I was just wondering if you’re seeing any tangible evidence that the Inflation Reduction Act is driving some of your new -- your homebuilder customers to upgrade their installation, whether it’s spray foam from fiberglass or fiberglass from cellulose or any other just upgrades taking advantage of the credit?
Robert Buck: Reuben, it’s Robert. So I think it’s a good question, interesting question you’re asking. So -- I think if you look at some of the custom homebuilders and we’re seeing some of the what I’d say, we think about installation packages is good, better, best, definitely I’d say we’re seeing some custom builders going more to a better, best type of package. Part of that could definitely be driven by what you’re talking about. I think some of the custom builders are trying to continue to differentiate themselves as well. So I think you could see that. I think that 45 tax credit or a credit that comes with the Inflation Reduction Act, they’ve made it a little more stringent from what it was previously, but they’ve also upped some of those credits as well. So I think it’s getting the attention of some builders, both production and custom homebuilders. And I think maybe the custom homebuilders could be seeing it as an opportunity to differentiate themselves in the package that they’re offering. So I think the way we always think about this is definitely tailwind in the industry, and there could be some early signs of it.
Reuben Garner: Great. Thanks, congrats on the results.
Robert Buck: Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Mr. Robert Buck, President and CEO, for closing comments.
Robert Buck: Thank you for joining us today. We look forward to talking with you in October or early November in our Q3 results. Thank you.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.